Operator: Good day, everyone and welcome to the Miller Industries’ Third Quarter 2015 Earnings Conference Call. Today's call is being recorded. For opening remarks and introductions, I'll turn the call over to Katie Pyra. Katie, please go ahead.
Katie Pyra: Thank you and good morning, everyone. I would like to welcome you to the Miller Industries conference call. We are here to discuss the company’s 2015 third quarter results, which were released after the close of market yesterday. With us from the Management Team today are Bill Miller, Chairman of the Board; Jeff Badgley, Co-CEO; Will Miller, President and Co-CEO; Vince Mish, Executive Vice President and CFO; Frank Madonia, Executive Vice President, Secretary and General Counsel; Debbie Whitmire, Vice President and Corporate Controller; and Allison Houghton, Director of Finance. Today’s call will begin with formal remarks from Management, followed by a question-and-answer period. Please note in this morning’s conference call, Management may make forward-looking statements in accordance with the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. I would like to call your attention to the risks related to these statements, which are more fully described in the company’s Annual Report filed on Form 10-K and other filings with the Securities and Exchange Commission. With these formalities out of the way, I would like to turn the call over to Jeff. Please go ahead, Jeff.
Jeff Badgley: Thank you, and good morning. We're pleased to discuss with you today our third quarter performance continuing the momentum that we've achieved. During the quarter, customer's sentiment remained very positive and we continued to see high levels of quoting activity both domestically and globally. During the quarter, we focused on improving our operations for the future. In the third quarter of 2015, we reported sales of $126.2 million, approximately 7% higher than sales of $118.4 million in the prior year period. Q3 2015 net income was $3.2 million or $0.28 per share, which is a decrease of approximately $300,000 or 9% compared to net income of $3.5 million or $0.31 per share in the 2014 third quarter. Gross margin for the quarter was 10.1% of net revenues down from 11% in the prior year period. SG&A as a percentage of net sales was 6%, down from 6.1% in the third quarter of 2014. Our order levels and backlog remained strong and overall quoting activity continues to drive our business forward. We continue to invest in our production capabilities and are working on our expansions of our manufacturing operations in Pennsylvania and Ottawa, Tennessee to increase capacity and improve operating efficiencies. We're operating in a position of financial strength and we continue to demonstrate our ability to react to shifts in the market and capitalize on opportunities as they emerge. Now I'll turn the call over to Vince, who will review the third quarter and nine months financial results. After than I'll be back with comments on the market environment and some closing remarks. Vince?
Vince Mish: Thanks, Jeff and good morning, everyone. As Jeff mentioned, net sales for the third quarter of 2015 were $126.2 million versus $118.4 million for the 2014 third quarter, a 6.6% year-over-year increase. We've experienced strong continued domestic and international order flow and have been able to capitalize on that with our ramp up of production levels in recent quarters. Cost of operations increased 7.6% to $113.4 million in the 2015 third quarter, compared to $105.4 million last year, driven primarily by the higher sales volumes and an increase in production levels. Gross profit was $12.8 million or 10.1% of net sales in the third quarter of 2015, compared to $13 million or 11% of net sales in the third quarter of 2014. SG&A expenses were $7.5 million in the third quarter of 2015 compared to $7.2 million in the third quarter of 2014. As a percentage of sales, SG&A decreased to 6.0% from 6.1% in the prior year period. Other income expense, net for the quarter was a net gain of $94,000 compared to a net loss of $31,000 in the third quarter of 2014. Interest expense in the 2015 third quarter was $291,000 compared to $178,000 in the third quarter of 2014. Net income attributable to Miller Industries in the 2015 third quarter was $3.2 million, or $0.28 per diluted share. The income attributable to Miller Industries in the 2014 third quarter was $3.5 million or $0.31 per diluted share. Now let me briefly review our results for the nine months ended September 30, 2015. Net sales for the first nine months of 2015 were $404.5 million compared to $345.0 million in the prior year period, an increase of 17.2%. Gross profit for the nine months ended September 30, 2015 was $42.3 million or 10.5% of sales, compared to $36.4 million or10.6% of sales for the first nine months of 2014. Net income attributable to Miller Industries in the first nine months of 2015 was $12.1 million or $1.07 per diluted share, which is an increase of 30.8% over net income in the first nine months of 2014 of $9.2 million or $0.82 per diluted share. Coming now to our balance sheet, cash and cash equivalents as of September 30, 2015 were $41.0 million, compared to $36.0 million at June 30, 2015 and $39.6 million at December 31, 2014. Accounts receivable at September 30, 2015 totaled $115.4 million compared to $131.3 million at June 30, 2015 and $116.5 million at December 31, 2014. Inventories were $64.5 million as of September 30, 2015, compared to $57.6 million as of June 30, 2015 and $56.5 million at December 31, 2014. The increase in inventories was attributable to the ramp up in production in recent quarters. Accounts payable at September 30, 2015 were $76.7 million compared to $81.8 million at June 30, 2015 and $70.6 million at December 31, 2014. We continue to operate with no borrowing under our $30 million unsecured revolving credit facility. The Company also announced that its Board of Directors has declared a quarterly cash dividend of $0.16 per share payable December 14, 2015 to shareholders of record at the close of business on December 07, 2015. Now I'll turn the call back to Jeff for further remarks.
Jeff Badgley: Thank you, Vince. The momentum that we achieved throughout 2015 continued into the third quarter with our strong financial performance. During the quarter we focused on improving our operations for the future, which necessitated a one week shut down of manufacturing operations at our highest volume facility in Ottawa, Tennessee for plant reorganization. This plant reorganization and the work on the expansion of the facilities in Pennsylvania also had an impact on our revenues during the quarter. During the quarter, customer sentiment remained very positive. We continue to see high levels of quoting activity both domestically and globally and we have a healthy pipeline of business as we enter the fourth quarter and beyond. During the quarter, we continued to work on several new tenders that are long lived in nature. We did not -- we did receive some awards from these tenders that have delivery dates that extend throughout -- through 2016 and beyond in some cases. Overall we're very pleased with our performance in the quarter as well as for the first nine months of the year. Looking ahead to the fourth quarter and into 2016, our outlook is very positive as we continue to bid on new contracts, grow our backlog and further build our product offering successfully. Finally our balance sheet is strong and we remain committed to deploying our assets to enhance shareholder value. In closing, I would like thank our employees, our shareholders, our suppliers and our customers for their ongoing support of Miller Industries. With that, we're ready to take your questions.
Operator: Thank you. [Operator Instructions] And we'll take our question from Walter Lang with Avondale Partners.
Walter Lang: Good morning. Congratulations on another strong quarter. The reorganization in Ottawa, is that independent of what you're doing in Pennsylvania? And then secondly, could you expand upon the new tenders that are long lived in nature?
Jeff Badgley: Question one Walter, yes it is independent. Obviously, business is strong. Ottawa, and you've been here. Those on the call that have not, you know the layout of the plant. You also know that you can't just put a new building up to expand capacity. We're already working in key areas 20 hours a day with two 10-hour shifts. So my co-CEO Will Miller, look our production people, reorganize the plant to enhance our deliveries in the future. Pennsylvania is a construction of a new facility, but in that construction process, they also had to begin reorganizing the current plant for future blast and pain operations. So they are independent, but they both had an impact on revenue for the quarter. Question two, commenting about the long lived tenders, first off, I think it's pretty apparent if you follow our company and you follow international, but it was announced that International defense or Navistar defense, excuse me, I am still old school calling International or Navistar International, but Navistar defense had received an order, which they announced part of that order would be build in Ottawa, Tennessee and part of that order would be built in Mercer, Pennsylvania, which for the public would mean records and carriers. They announced the value of that tender, which was fairly high because obviously they are building other variance for their customer. The impact for Miller Industries is great, but it's not significant and it will head -- majority will head in 2016 and it's approximately somewhere between $10 million and $12 million in revenue. The other tenders we're working on are much longer delivery periods and in fact Walter it's hard for me to give you a break-up year after year after year because of the delivery schedules for that particular tender has not been in settled. But as I look at the tender, I would suppose a majority of that tender would probably hit in 2017, 2018 with some overhang in '19 and I think on a yearly basis although it will be a very nice order, is a very order. I don't want to disclose where it's going. I don't want to disclose who is prime is. It would have some more impacts on yearly basis that Navistar defense has. So nice order, but not big clumps of revenue in a one year period.
Walter Lang: Okay. Thank you.
Jeff Badgley: Finally we also got 84 units from a prime who bid to the United States Postal Service. Those are small units and revenue will hit in 2016 and it's couple of million dollars.
Walter Lang: Okay. The work in Ottawa, is that complete then?
Jeff Badgley: The work in Ottawa will be ongoing, but the work that will have schedule out Will probably can explain it better that I can is not inside the Walter we currently have, it's outside the laws. So it should have less impact going forward. Will you want to add anything?
Will Miller: Walter, the expansion project we're doing here, we had to prep forward after that point we're going to do it in phases, there are three separate phases of the project and our plan with our project manager for that is to minimize the impact on production as much as possible going forward, probably somewhere over the next nine months for completion.
Walter Lang: And the reorganization in Pennsylvania will continue for another two quarter, three quarters?
Jeff Badgley: Probably so in the neighborhood.
Walter Lang: Okay.
Will Miller: Weather will have an impact.
Jeff Badgley: Yeah weather dependent.
Walter Lang: Okay. Great, I appreciate your time in answering my questions.
Jeff Badgley: No problem Walter, we appreciate your support. Thank you.
Operator: With no other question in queue, Mr. Badgley, I'll turn it back to you for closing remarks.
Jeff Badgley: Well we certainly would like to thank you for joining our conference call us reporting on our third quarter results. Again I would like to mention that our backlog is extremely strong. We're very excited about the sentiment we see with our customers in the market and we look forward to reporting our fourth quarter results in the future. Thank you very much.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's conference.